Operator: Thank you for standing by, and welcome to the Syrah Resources Q4 Quarterly Report Update. [Operator Instructions] I would now like to hand the conference over to Mr. Shaun Verner, Managing Director and CEO. Please go ahead.
Shaun Verner: Thank you. Good morning, and thanks for joining us on the call today. With me is our CFO, Steve Wells, and our EGM of Strategy and Business Development, Viren Hira. I'm pleased to report our Balama operations delivered a solid quarter of campaign production and closed the year out with real momentum. Our commercial team had a busy fourth quarter, meeting good ex-China demand for breakbulk shipments of our Balama fines, and solid sales of coarse products into the global industrial markets. At the same time, the policy and market backdrop is moving into a pivotal period for support of the growth and potential development of our Vidalia anode material business, a period in which there is potential for acceleration of qualification and further commercial activity. Today, we'll work through the presentation provided with a quarterly report and update you on the key developments in the quarter, then we'll be happy to answer any questions at the conclusion of the call. So turning to Slide 3, and I wanted to remind everyone of our clear and differentiated investment proposition. Syrah is the leading integrated natural graphite and active anode material producer outside China, having deployed significant investment into infrastructure and operating capability with readiness to immediately increase upstream and downstream supply, providing significant lead times over the following projects. Vertical integration from mine through anode delivery to end customer offers a secure source of high-quality, critical graphite material supply outside China. Our unique asset base can be OpEx competitive with China and leading ex-China, and we are well placed to generate strong margins over the long term as operating capacity utilization increases. Our leading sustainability and governance position, including broad-ranging external assessment and low emissions intensity compared with Chinese products provides full auditability and traceability from raw material to finished anode. And finally, in response to expected continued growth and regionally specific requirements in our end markets, we have clear expansion opportunities that we can execute in line with the needs of our customers and government stakeholders with support from capital providers. Moving on to Slide 4 now, our critical underpinning values at Syrah are safety and sustainability. And as we continue to develop as a leading ex-China critical minerals producer, we're guided by 3 core objectives: being positive for the communities in which we operate, being sustainable for the environment, and providing secure high-quality supply for our customers. In the fourth quarter, performance against our key safety and sustainability metrics was very strong. We continue to demonstrate how our people and our local communities are critical to our success. The health and safety and security of employees and contractors will always remain Syrah's highest priority. As we strive for 0 harm in our operations, we saw our total reportable injury frequency rate remained very low at 0.9 incidents per million hours worked, a result which any operation globally would be proud of. Our safety focus is underpinned by our work on critical risk hazard management and infield leadership interactions, which are a daily priority for the leadership teams. For the full year, we saw continuing improvement trends in our injury frequency rates across both operations and further refinement of our asset risk profile. I'm also happy to report that in December 2025, we finalized a new community development agreement with Balama host community and district government representatives. The new agreement extends our community development framework that's been in place since 2017, and commits a further USD 5 million from Syrah to important social and economic initiatives focused on infrastructure, essential services and sustainable income generation programs. Importantly, the priorities for these projects are determined in conjunction with our local host communities in Cabo Delgado. Syrah's operations are clearly aligned with leading global sustainability and governance standards. Last year, Balama became the first graphite operation globally in the first mining operation in Mozambique to achieve the Initiative for Responsible Mining Assurance or IRMA 50 level of performance for sustainability. This achievement highlights nearly a decade of strengthening our differentiated performance, including a strong safety record, investment in training and developing a highly skilled workforce, ongoing community interaction and development and human rights due diligence. Along with our ISO certifications and external auditing required under our U.S. government funding arrangements, we continue to prioritize health and safety and environmental management systems, confirming our commitment to operating sustainably and driving continuous improvement. Final point I wanted to reiterate here is the independent life cycle assessment or LCA of Syrah's integrated operations conducted by [ Minderoo ] on global warming potential. From Balama origin to Vidalia customer gate, our global warming potential is estimated at 7.3 kilograms of CO2 equivalent per 1 kilogram of anode material produced, which is around 50% lower than equivalent natural graphite from the benchmark supply route in Heilongjiang province in China and 70% below the synthetic graphite benchmark in China. This whole sustainability focus, along with the lower global warming potential with our integrated natural graphite anode product relative to other suppliers should provide Syrah competitive advantage on these parameters as the most sustainable source of integrated natural graphite anode material available at scale today. On Slide 5, turning to a more detailed look at our performance in the fourth quarter. Total production at Balama was up 34% on the prior quarter to 34,000 tonnes. This result was in part driven by a clear improvement in recovery rates to 76% and good plant availability. It's worth making a specific mention of the operational performance in the most recent production campaign through December, where we produced 16,000 tonnes at 83% recovery whilst maintaining high product quality. This is in line with our best prior operational performance, and the team is confident that further improvement at higher throughput for greater cost efficiency is achievable. Since recommencing production after the nonoperating period through most of the first half of 2025, it's been great to see the Balama operational team delivering high performance and closing out the year on a strong note. As you'll recall, we restarted operations in mid-June '25 and in July, we recommenced shipments from Balama and subsequently lifted the force majeure declaration that has been in place since December 2024. As a result of campaigns from restart comparisons with the prior 2 quarterly periods are less meaningful here, given that we're still ramping up operations after an extended outage but we are demonstrating clear and continuous improvement and operating comparisons will be more relevant over future quarters. Natural graphite sales of 29,000 tonnes were up 21% on the prior quarter. We continue to have demand to drive our operating campaigns and product inventory requirements, and we essentially sold everything we produced in the quarter, noting the lead time required to port and shipments. This included 2 further breakbulk shipments to Indonesia in the quarter, with solid demand evident for ex-China feedstock into the anode market. Our weighted average sales price for the quarter of USD 577 per tonne CIF was up 2% on the same quarter last year, but down quarter-on-quarter on the customer and product mix. Our C1 cost was USD 535 FOB per tonne during the operating period and freight averaged $74 per tonne. Importantly, this all provides a good basis for lower C1 costs as we can lift capacity utilization and increase volumes. Along with indications of better than historical pricing as ex-China differentials are embedded, positive future cash flow opportunity is clear, subject to demand continuing to increase. Balama has always had potential to generate good margins of greater than 50% capacity utilization and the price premium is being achieved for ex-China sales compared to domestic and FOB China prices. At Vidalia, the operations team continues to build significant operating experience through small batch production periods and qualification interactions. We continue to work through the highly detailed and extensive qualification requirements, and we are making positive progress, albeit obviously slower for conversion to sales than we would like. We're also responding to continuing refinements that have been requested by customers as their own processes and requirements mature in newly developing battery operations and product mixes in the U.S. Our product quality and performance is excellent as per the key technical performance outlined on Slide 13 in the appendix of today's slides. There is no issue with our product specification or performance, and we continue to deal constructively with a highly complex mix of policy, commercial and technical factors. We remain singularly focused on achieving sales as early as possible, but it's clear that greater certainty in the policy and result in pricing and supply environment, which is expected in the first quarter of 2026 will be critical for the next steps in commercial progress. The removal of the Section 30D consumer tax credit in September 2025 saw a marked reduction in U.S. EV demand in Q4, given sales have been brought forward prior to the change. The growth profile is expected to normalize from there. And as the broader policy and AD/CVD or antidumping and countervailing duties case position crystallizes throughout this year. This will be important not just for Vidalia but also for Balama's continuing sales growth. So we emphasize that the extensive work of our operating and commercial teams will pay off with our investment and development experience demonstrating considerable time and capital required for others to follow, creating a sustainable lead time advantage for Balama and Vidalia. I'll hand over to Steve now to talk about the current financial position and interaction with our U.S. government lenders. Steve?
Stephen Wells: Thanks, Shaun, and I'll turn your attention to Slide 6 to cover the cash flow for the group. We started the quarter with USD 87 million in total cash, the cost -- restricted and unrestricted cash balances. Our cash flow from operations during the quarter of negative $18 million included receipts from sales of natural graphite product shipments of USD 13 million. Cash outflow was higher than the September 2025 quarter, mainly due to a $4 million partial payment for a breakbulk shipment being delayed into January for a December shipment and higher adviser costs associated with DOE and DFC loans. In addition, the prior quarter's operating cash flow was also positively affected by the receipt of a $12 million Section 45X U.S. tax credit for Vidalia. We experienced some working capital buildup at Balama, ongoing working capital draw from Vidalia through this low production qualification period, and increased adviser cost associated with the loans, also noting that we continue to draw on the DFC loan in the quarter. Our clear focus remains on increasing sales from Balama to facilitate further improvement in the quarters ahead, and to bring Balama to operational cash flow breakeven as soon as possible, as well as completing the qualification process of Vidalia to expedite ramp-up in sales. Through this period, we are highly focused on managing the cost position of both assets. Other movements to call out in this quarter were the $8.5 million disbursement from the DFC loan to fund working and sustaining capital at Balama, which netted USD 1.1 million of financing repayments and transaction costs, led to the $7 million net proceeds from financing amount. At the end of December, the group had a closing cash balance of USD 77 million. Of this closing balance, there is $18 million of unrestricted cash and $59 million of restricted cash under both loans. Of that restricted cash, $10 million is available to fund Balama operating and capital costs and restricted cash of $17 million is available to fund the Vidalia costs. In addition to sales, of course, further liquidity of $7 million is available under the current DFC facility for TSF funding purposes and subject to meeting loan terms and conditions. Interest payments on the DFC loan are currently deferred to May 2026, while debt service obligations on the DOE loan are deferred to 2027 under the Forbearance Agreement Syrah has with the Department of Energy. We continue to work with both lenders given the market dynamics as a result of the geopolitical and policy landscape, which Shaun has referred to, and to the clear strategic nature of the assets and Syrah's market conditions as well as the specific loan requirements, which include various event default and a requirement for further funding by March 1. This also forms part of the overall strategic advisory process we have previously announced with Macquarie. And with that, I'll hand you back to Shaun.
Shaun Verner: Thanks, Steve, and I'll spend some time now providing an update and our perspectives on various market developments and the evolution of government policy through the last quarter of 2025, and implications for our business in 2026. On Slide 7, you can see on the left-hand chart, the global EV demand remained strong, though volatile month to month. In 2025, global EV sales were up approximately 24% on 2024 with strongest growth in China, positive developments in Europe, and a spike in demand in the U.S. in Q3 prior to the expiring of the Section 30D consumer tax credit. As noted earlier, we expect the U.S. demand growth profile to normalize over the coming months. And whilst still positive, we expect the growth rate to moderate from prior forecasts. Anode production in China continues to grow, approaching almost 3 million tonnes in 2025, reflecting not only the EV market, but also the rapid rise of battery energy storage systems or BESS requirements for data centers and other stationary storage applications. Synthetic graphite anode material production overcapacity in China has resulted in intense competition for market share and destructive pricing behavior in the domestic market. Although the addition of BESS demand is starting to see some improvement in utilization in conjunction with some early evidence of capacity rationalization. Prices for synthetic graphite anode material, especially lower-grade products remain below estimated production costs in many cases. Synthetic graphite anode margins have also been impacted by higher coke feedstock costs, maintaining pressure on Chinese producers as only 2 or 3 major producers have significant export market share. These elements are now indicating that prices may be coming off historical sustained flows. In the natural graphite space and anode material production, low overall anode material prices have kept precursor margins and upstream feedstock margins very low over successive periods. Below a few of the larger Chinese anode material producers remain profitable, an increasing number of Chinese natural graphite feedstock and precursor suppliers are not operating due to poor margins and low demand driven by domestic market price substitution, seeing Chinese anode material supply at around 85% synthetic graphite. In the ex-China market, which is more balanced between products, natural graphite anode material demand was lower in Q4, largely due to the U.S. consumer tax credit removal. But through further development in 2026, we expect to see continuing structural shift driven by policy. U.S. government tariff policies and preliminary AD/CVD investigation outcomes have already seen transition to lower Chinese exports evident in the chart on the right-hand side of this page, replaced by supply from Indonesia into the U.S. and Chinese owned facilities. This has been positive for Balama supplying Indonesia, and there is potential future demand in other ex-China production capacity. As the antidumping and countervailing duty investigation is expected to finalize in this first quarter of 2026, the potential for implementation of minimum 5-year antidumping tariffs and countervailing duties may support Vidalia further through increasing demand for ex-China supply and potentially underpin capacity expansion. There are continuing deep market challenges and financial pressures across the global battery and input materials sectors arising from the dominance of incumbent Chinese producers in both cell production and feedstock and precursor supply. Policy decisions will be key to the evolution of both demand and pricing for ex-China supply, and we do expect to see support for diversification decisions and positive developments from a more level playing field for ex-China production. Slide 8 sets out the current position on a number of these government policy settings, which deliver potential support to Syrah's strategy to be the leading ex-China integrated natural graphite and anode material producer. Over the course of 2025, we saw key U.S. government policy changes, in particular, the antidumping and countervailing duties investigation and combined preliminary tariff imposition of at least 105% and various other import tariffs and policy instruments, including the definition of prohibited foreign entities impacting future availability of the 45X tax credit to battery and auto manufacturers, credit, which is very important to their profitability. The ever-present specter of trade tensions also keeps concerns arising from China's export license controls alive for graphite anode and processing equipment similar to those restrictions imposed on rare earth exports. This remains a key driver of ex-China purchasing diversification considerations for potential customers. The combination of these factors should level the playing field for ex-China supply through this year and Syrah's major investment and capability build will allow us to capitalize on both the competitiveness and value of Balama feedstock and our anode material from Vidalia for OEMs and lithium-ion battery manufacturers in the U.S. Turning now to Slide 9, and a summary of our key strategic priorities and milestones over the coming 6 to 12 months. In the first half of 2026, we'll target campaign production to support increasing natural graphite shipments to ex-China anode material customers with a particular target on breakbulk shipments for efficiency. This will continue to generate important revenue for the company as we progress our technical and process qualification steps with the data customers to progress sales from there, concurrent with the near-term evolution of commercial and policy positions. At an industry level, we're awaiting the final determinations for the antidumping and countervailing duties investigation in the U.S., which are due by the end of the first quarter. If the preliminary duties are finalized, they will be in place for a minimum of 5 years, providing important stability and a marked leveling of the competitive position for Syrah relative to Chinese exports to the U.S. Geopolitical developments, including government focus on addressing the vulnerabilities caused by the concentrated structure of graphite supply and anticipated demand growth, particularly outside of China, underpin our loan restructuring efforts and pursuit of further strategic transaction opportunities. We're advancing a process advised by Macquarie to review strategic partnering and funding options to enable strengthened position in which to pursue developing market opportunities. At Vidalia, we expect to further progress technical and process qualification with the high-quality products with customers' immediate purchasing decisions informed by policy developments. Concurrent with driving our Vidalia operations into commercial sales, we're targeting additional customer and financing commitments to facilitate potential expansion steps through 2026. We're optimistic about improving market and policy positions soon, and we see a number of clear positive catalysts ahead that have the potential to create significant value. We strive to deliver against these objectives safely and rapidly, and we look forward to communicating further progress as we move through. We're now happy to move across to questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Austin Yun with Macquarie.
Austin Yun: Steve, good to see continued production ramp-up at Balama. The first 1 is more around the market color. I know you touched on that briefly. I'm keen to understand the current market dynamics from the pricing front, like we see that lithium market is flying with a strong BESS demand where half of the BESS battery requires graphite. Just trying to understand, are you observing any customer behavior changes for the ones you're engaging with or new markets emerging and also the pricing changes into the March quarter. I'll come back with the second one.
Shaun Verner: Thanks, Austin. I think we are seeing an ex-China pricing differential, call natural graphite. I think differently to the lithium market, the graphite market is still dominated globally by synthetic graphite anode material, and that is seeing a weight on the overall pricing for graphite. But the growth of ex-China manufacturing capacity, particularly in the natural graphite space, starting to create a bifurcation in that pricing between China domestic and ex-China pricing for the natural graphite feedstock. I think more broadly on anode material, the regionally specific policy matters that I mentioned during the course of the call, will be the greatest determinant on pricing. But assuming that the policy conditions continue to evolve in a positive and supportive manner, there's strong underpinning potential for improvement in prices for both anode material and demand for Balama feedstock.
Austin Yun: Second question is on the balance sheet and the cash flow. Just keen to understand your liquidity requirements given that Balama is up and running again, which I assume requires a bit more working capital, also assuming you would need to tap into the $10 million restricted cash for Balama in the March quarter. Is that the right understanding?
Shaun Verner: Yes, I'll hand over to Steve to make some comments there, Austin.
Stephen Wells: Yes. Thanks, Shaun. So within our sort of cash balances, you'll see we have restricted cash as well as unrestricted cash. So within the restricted cash we have funds at Balama of $10 million that can be used for working capital, plus obviously, receipts from sales and Shaun has talked about some of the positive direction there. And we also have $7 million available under the DFC loan that can be used to fund the TSF, which is probably not a Q1 expense but more spread out over the year. So we have that available. Obviously, the key swing factor is -- does relates to sales. And then at the end of the year, we also had that $18 million of unrestricted cash also. So very much dependent on the production side of things as well as the receipts that we get from sales during the quarter. I just kind of highlight as well, as I talked about in my comments that a $4 million partial payment for the breakbulk that we did in December was also received in early January as well. So that's part of our cash consideration for the quarter.
Operator: [Operator Instructions] Your next question comes from Mark Fichera with Foster Stockbroking.
Mark Fichera: Shaun, just a couple of questions. Firstly, you've guided regarding production of no less than 30,000 tonnes of graphite in the March quarter. I just -- I assume that in terms of sales, which you're looking at least 30,000 tonnes as well, just given you've built up your inventory now at Balama.
Shaun Verner: Yes. Thanks, Mark. Yes, we've been very clear that we're using our sales forecast to drive our production decisions. And we are seeing a more consistent and stable demand outlook. So that is supporting that view. Should that change, we have capability to produce further through the quarter, but that's the view at this stage. The coarse flake markets relatively stable, and we watch very carefully what the supply-demand balance looks like in those markets as well. But it will really be that ex-China anode material demand profile that drives our production and sales position for the quarter.
Mark Fichera: Right. Okay. And a second one, regarding the battery energy storage systems market, you mentioned that the future market for the company. I was just wondering, yes, can you elaborate a bit on that in terms of how you would approach entering that market in terms of what potential impact on Balama and Vidalia in terms of the operations to enter that market?
Shaun Verner: Thanks, Mark. I think it's still very early stage to talk through that. The vast majority of battery energy storage system cell supply and battery supply is coming from China at this stage. And therefore, the majority of anode material supply is obviously domestically procured in China and synthetic graphite. One of the key requirements of that segment is long warranty periods and cycle life performance is key. And you might recall from other discussions that we've had that natural graphite anode material has a higher energy density than synthetic graphite, but synthetic graphite tends to have a longer cycle life performance than natural graphite. So it's certainly something that we need to take into account. But what will be driven by is the development decisions of the battery manufacturers, primarily in the U.S. in the requirements or specifications that they need, and it's pretty early stage in terms of their thoughts on that front because most of the capacity in the U.S. is currently geared towards EV.
Operator: [Operator Instructions] There are no further questions at this time. That does conclude our conference for today. Thank you for participating. You may now disconnect.